Operator: Good morning, ladies and gentlemen. My name is Andrew and I will by your conference call operator today. At this time, I would like to welcome everyone to the Bryn Mawr Bank Corporation’s Quarterly Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions). Thank you. It is now my pleasure to turn the floor over to your host, Duncan Smith, Chief Financial Officer. Sir, you may begin your conference.
Duncan Smith: Thank you, Andrew. And thanks everyone for joining us today. I hope you had a chance to review our most recent press release. And if you have not reviewed our press release, it is available on our website at bmtc.com or by calling 610-581-4925. Ted Peters, Chairman and CEO of Bryn Mawr Bank Corp has some comments on the quarter and our strategic initiatives; after that we’ll take your questions. The archive of this call will be available at Bryn Mawr Bank Corp website or by calling 877-344-7529 referring to conference number 10053617. A replay will be available approximately two hours after the call concludes and will be accessible until 09 am Eastern on Tuesday, November 04, 2014. Before we begin, please be advised that during the course of this call, management may make forward-looking statements, which are not historical facts. Forward-looking statements can be identified by the fact that they do not relate strictly to historical or current facts. They often include but are not limited to the words may, will, would, could, should, likely, possibly, probably, potentially, predict, contemplate, continue, believe, expect, anticipate, outlook, project, forecast, are optimistic, are looking, intend, plan, target, estimate, or words or phrases of similar meaning. Forward-looking statements by their nature are subject to risks and uncertainties. A number of factors, many of which are beyond the corporation’s control, could cause actual conditions, events, or results to differ significantly from those described in the forward-looking statements. All forward-looking statements discussed during the call are based on management’s current beliefs and assumptions and speak only as of the date and time they are made. Corporation does not undertake to update forward-looking statements. For a complete discussion of the assumptions, risks, uncertainties related to our business, you are encouraged to review our filings with the SEC located on our website. Thanks. Now, I’ll turn the call over to Ted.
Ted Peters: Thanks Duncan. First of all, I’d like to thank you all for joining our conference call today. I hope you had a chance to review our third quarter press release which was issued yesterday and after the market closed. Our continued strong financial results are very encouraging and endorsement of our sound business strategies. Before I delve into the results for the quarter, I would like to update you on a couple of our strategic initiatives as well as a recent addition to our management staff. We’ve made significant progress on our pending merger with Continental Bank. All regulatory approvals have been received and recently the shareholders of both companies have overwhelmingly approved the merger. The staff and management of both organizations have done hard work preparing for the merger and we look forward to a successful integration of the two institutions. On October 1, 2014, we completed our previously announced acquisition of Powers Craft Parker & Beard Inc., a premier insurance HC headquarter in Suburban Philadelphia. The company is licensed to conduct business in 34 states and excel the structuring comprehensive insurance and risk management programs. This acquisition will greatly enhance our ability to offer high quality insurance services to both our existing client base, as well as new clients. Lastly in August, we announced the addition of Gary Madeira to lead our Wealth Management Division replacing Frank Leto, who as we all know, was appointed President and COO on May 1st and will be my successor. Gary joined our team on September 7th, having most recently been with Brown Brothers Harriman & Company where his responsibilities included client management and business development for the investment units. We are certain that Gary is well suited for his new role and we expect great results under his leadership. We’re pleased to have Gary with us on the call today and look forward to his joining us on future call as a representative of Bryn Mawr Group. Now the numbers. We reported net income of $6.5 million and diluted earnings per share of $0.47 for the third quarter of 2014. Net income for the third quarter 2014 included pre-tax due diligence and merger-related expenses of $775,000 as compared to $328,000 for the same period in 2013. On a non-GAAP basis, net income excluding tax-affected due diligence and merger-related expenses was $7 million even or $0.51 per diluted share for the third quarter of 2014 as compared to $6.4 million or $0.49 per diluted share for the same period in 2013. A reconciliation of these non-GAAP to GAAP performance measures is included in the schedules accompanying our earnings release. Some of the significant factors contributing to the results for the third quarter of 2014 included an increase in net interest income of $643,000 or 3.5% to $19.2 million as compared to the $18.5 million for the same period in 2013. The increase was related to $166 million increase in average loans for the three months ended September 30, 2014 as compared with the same period in 2013. We experienced a solid loan growth during the third quarter of 2014 and our credit quality remains excellent. The increase in average loan balances was partially offset by a $59 million decrease in average available for sale securities. The tax equivalent net interest margin of 3.87% for the three months ended September 30, 2014 was an 18 basis point decrease from the 4.05% for the same period in 2013. The decrease was a primarily result of a 27 basis point decline in the yield on portfolio loans and a 5 basis point increase in the rate paid on interest-bearing liabilities. A significant factor contributing to the decline on the yield on loan portfolios for the third quarter of 2014 was the affect of fair value accounting. Loans acquired and mergers are marked to their fair market values and acquisition. As these loans pay down the loan loss recognized in interest income. When a linked loan pays off early, any unamortized loan markets recognize interest income at once. During the three months ended September 30, 2014, Corporation recognized in its loan yield 12 basis points related to acquired loan payoffs as compared to 23 basis points for the same period 2013. Non-interest income for the three months ended September 30, 2014 increased a $156,000 as compared to the same period in 2013. Significant factors contributing to this increase included a $464,000 increase in wealth management revenue during the three months ended September 30, 2014 as compared to the same period year earlier.  Wealth management division assets under management, administration, supervision and brokerage as of September 30, 2014 were $7.6 billion, an increase of $498 million or 7% from September 30, 2013. This increase was the result of new business development and market appreciation between those dates. The increase in wealth management revenue was partially offset by a decrease of a $138,000 in gain on sale of residential mortgage loans and $112,000 decrease in other operating income. Non-interest expense for the three months ended September 30, 2014, increased $638,000 to $20 million compared to the same period in 2013. Several offsetting increases and decreases contributed to this overall increase between the periods, they include a $447,000 increase in due diligence and merger-related expenses for the three months ended September 30, 2014 as compared to the same period year earlier which was related to the pending merger with Continental Bank along with increased occupancy expenses. These cost increases were partially offset by decreases in employee benefits and other operating expenses. Total portfolio loans and leases of $1.65 billion as of September 30, 2014 increased by $98 million or 6.3% from December 31, 2013. Commercial mortgages, commercial and industrial, and construction loans accounted for a majority of the increase. Non-performing loans and leases as of September 30, 2014 were $8.3 million or 51 bps of total portfolio loans and leases as compared with $10.5 million or 68 bps of portfolio loans and leases at the end of the year 2013. For the three months ended September 30, 2014, the net loan and lease charge-offs were $421,000 as compared to $376,000 through the same period year-over-year. For the three months ended September 30, 2014, the provision for loan and lease losses was $550,000 as compared to $959,000 for the same period in 2013. Total assets as of September 30, 2014 were $2.12 billion, an increase of $62 million from December 31, 2013. Loan originations accounted for substantially all of this increase partially offset by decreases in available for sale investment securities and interest bearing deposits with other banks. Deposits of $1.61 billion as of September 30, 2014, increased $19 million from the end of the year 2013. The increase was comprised of increases in wholesale time deposits, non-interest bearing deposits and savings and market rate accounts. These were partially offset by decreases in retail time deposits and NOW accounts. The capital ratios for the bank and the corporation indicate levels well above the regulatory minimum to be considered well capitalized. The tangible equity ratios for both the bank and the corporation as of September 30, 2014 have sharply improved from the December 31, 2013 levels. These increases were largely result of increases in retained earnings along with market value improvements in the corporation’s available for sale investment portfolio between those dates. For the past 86 quarters, we have paid dividends to our shareholders. We are very proud of this record and feel fortunate to have the continued loyalty and support of our shareholders. Therefore, I am pleased to announce on October 23, 2014, the Board of Directors of the corporation declared quarterly dividend of $0.19 per share payable on December 1st to shareholders of record as of November 4th. In summary, we believe our business model is sound and with an improving economy both locally and nationally, we are in excellent position to take advantage of the opportunities for continued profitable growth and strong performance. We continue to evaluate acquisition opportunities as they arise with a focus on quality and compatibility. With that operator, we will open up the lines for any questions.
Operator: We will now begin the question-and-answer session. (Operator Instructions). The first question comes from Jason O’Donnell of Merion Capital Group. Please go ahead.
Jason O’Donnell - Merion Capital Group: Good morning.
Ted Peters: Good morning Jason.
Jason O’Donnell - Merion Capital Group: I’ve got a question I guess the first one is for Duncan maybe both of them are for Duncan. With respect to the impact of the fair value accounting on acquired loans this quarter, can you just give us a little more color around the number and performance of the credits that [led] the decrease in interest income?
Duncan Smith: Sure. It’s a very good question. So, if you’re looking at the quarterly average balance sheet on the five quarters and you see we added a little table at the bottom. You see that Jason?
Jason O’Donnell - Merion Capital Group: I do, I do.
Duncan Smith: Okay. So, basically what we’re showing there is that overtime during the first say 12 months of the merger, the CD mark and the borrowing mark run off pretty quickly and then what remains is the loan mark comes in overtime. And most of these -- we amortized them as payments come in. So, what we’ve seen is during the first four quarters in this presentation here, the September through June, they’re coming in a little, there are some prepayments in. When the prepayments come in that related mark comes off into income. So I would say, -- and then overtime it’s declining. So, eventually over like 5 to 7 year period, it would end up being nominal at the end of that time period. So, I would say the baseline is round about this 516 number, so I’d expect the similar number for the fourth quarter of the 516, except for pay-offs that might happen that we don’t know about yet. So, and then in the first quarter of ‘15 that number will go back up again probably about a $1.5 million in the aggregate just relating to the loan book and that’s preliminary estimates based on the mark and what’s going to be accreted versus what’s…
Ted Peters: Yes. What Duncan is referring to is the acquisition of Continental Bank which is scheduled to close on January 1st. On that sense we kind of reload that.
Duncan Smith: Yes. Remember this acquisition; the major piece of this is from the Keystone acquisition which is in 2010, July 2010 and then a smaller piece from First Bank of Delaware that came in November of 12. So overtime, they will dissipate. So, you are starting to see that. And then it will kind of reload. But what we wanted to do is show you and we’ve always been tracking this. So, you can see if you take out the difference 20, quarter-to-quarter 20 versus 11, then you look at the overall change was what 13, 16 basis points. And the change in the year mark was 9 basis points. So, you need to subtract it out. And part of that is our core strategy where bookings are more variable rate loans to protect us on the way up when rates come up. And competition, 481 is a very big yield to get on a loan and we’re finding that you are not getting a lot of loans over that number. So, we’re going to continue to see a little bit of pressure. But this quarter was more glaring because of the change in the loan market attrition.
Ted Peters: Yes. And we’re also working to protect it if balance sheet with bookings on federal home loan bank advances that are little bit longer how to get the money cheaper. But we’re trying to keep the balance sheet at that sense to protect ourselves when rates go up. I think we’re all little disappointed up by now, but we know to grow at some point, just the question when.
Duncan Smith: And Jason one last thought on that. If we go back to the transcripts of all the prior quarters when I was asked this question maybe by yourself or your associates where do you think the margin, I was always expecting it to come down 2 to 3 basis points a quarter. And I was wrong for the last four quarters. It just kept staying at the 4 or 5 and some of that was -- a lot of that was because of the impact of the month. So when that kind of runs down, you do see that drop.
Ted Peters: I think that’s the only time you’ve been wrong in the last 10 years.
Jason O’Donnell - Merion Capital Group: Okay. Listen, I appreciate all that color, I do, it makes sense. But I just want to be clear on the basis point impact, you offside in the release that there is a 12 basis point impact in the third quarter that dropped or I think something like 24 basis points in the second quarter. So, it sounds like what you’re saying is that the 12 basis points is going to be kind of the norm potentially near-term borrowing any unexpected developments and then you’re going to see a reload at the acquisition closes and you get additional accretable yield?
Ted Peters: That’s correct.
Duncan Smith: Exactly, yes.
Jason O’Donnell - Merion Capital Group: Okay, great. And then just one -- I’m sorry go ahead.
Ted Peters: You have another question, Jason?
Jason O’Donnell - Merion Capital Group: I just have one more question on the -- and then I’ll hop out of the queue. In terms of the -- just switching gears on to the expense base, it looks like the -- your salaries and benefits expense was down in quarter driven by presumably it sounds like incentive in bonus accruals. Can you just give us kind of the sense of what -- how much that impact was at the incentive in bonus accrual line and then kind of how should we think about the operating expense base going forward, looks like you’ve got $19.2 million in OpEx excluding M&A expense. Is that a good run rate kind of going forward ex-additional M&A, we already expect that the accounts back? Thanks.
Ted Peters: I think you asked the few questions in there. Just a couple of items on the net gain on the sale of residential mortgage loans; and this ties into your question here, it is 440 for the quarter versus 537 last quarter. Beginning with this quarter, we are taking the commissions of about 120,000 and netting them against the sale in residential mortgage loans. So it’s a 120 decrease in salaries and 120 decrease in the gain on sale. So, if you add that back that will be 560 compared to 537, so it’s running at a similar rate and it’s probably not material enough to go back and re-class. So that’s one part to the salary reductions. And then we are deferring some of our salary costs that are related to the IT projects and infrastructure projects that we’re building. So if we assign somebody full time to build a piece of software that’s going to take two years to build, some of their costs will be capitalized and then most of the thing comes in service. So you’re seeing a little bit of that. And then as far as the compensation bonus pools, they are down probably comparable to last quarter but they are down comparable to prior years, so a [price out] in a couple of hundred thousand there. But the one rate of overall expenses is going to be anywhere from that 19 million to up to about the 20 million mark because you’re talking about total non-interest expenses because Jason as you know, sometimes you get something comes in to your benefit and something comes in but I think $19.5 million $20 million is a decent run rate for at least for the next quarter or so.
Jason O’Donnell - Merion Capital Group: Great. That’s very helpful. Thanks guys.
Ted Peters: Thanks Jason.
Operator: (Operator Instructions). The next question comes from Michael Perito of KBW. Please go ahead.
Michael Perito - KBW: Hi good morning everybody.
Ted Peters: Good morning Mike.
Michael Perito - KBW: Duncan, one more quick question on the margin if I could, I appreciate all the color and then the new disclosure in the release. Last quarter I believe on the call we’ve spoken the Continental margin on total basis was going to be slightly dilutive to your margin today. So, I guess when I’m looking at your forecasting, your total margin going forward, I guess how should I balance the dilutive impact of the Continental margin once you guys merge with the accretion benefit that you’re expecting to get once the deal closes, if that makes sense?
Duncan Smith: It’s good question, and we’ve modeled various scenarios out, a lot of that will depend on Joe Keefer right now is still working on his loan mark calculations and then we have to run that through the model. So, it’s going to have a slight decrease in it but their loan book relative to our loan book is not volume wise, it’s not like they’re comparable size. So, it’s 421 plus $1.6 billion. So, I am not going to guess, I don’t have that in front so I am not going to guess on that number, but I think you’re going to see a slight downward piece. But on the other hand, the volume, the net interest income will be way up.
Michael Perito - KBW: Right, yes, definitely. Okay. And then Ted or Frank, I think on last quarter’s conference call, you guys alluded to potentially coming with the new strategic growth plan with your coming next closing on this 383. Any updates there or any update on maybe the timeline on when we could get something official out there?
Ted Peters: Yes. Let me -- this is Ted. I’ll make a comment and turn it over to Frank. As you know, I’m leaving the Bank retiring on December 31st. Frank is taking over as President and Chief Executive Officer. And as such Frank has been working very hard with this executive management team to put together strategic plan which we’re actually presenting to the Board this Saturday. Frank is presenting to the Board this Saturday. This is Frank’s plan not Ted’s plan. So, I’ll let Frank to talk a little bit more about the oncoming strategic plan.
Frank Leto: Yes, Michael. So we’re going to -- this is the initial presentation to the Board on Saturday and it’s a draft of the plan. We’re doing it this way just to give the Board an opportunity to really comment and give us their suggestions have us to tell them why they want us to look into anything else other than what we’ve presented. I think we’ll be in a position hopefully to finalize the plan early in the first quarter of 2015. And so, we’ll have something for you then.
Michael Perito - KBW: Okay. All right, thanks. And then one last one if I could and then I’ll hop out; just wondering if you guys had a chance to look at Continental’s third quarter results and if everything was pretty much tracking as you guys were expecting it?
Ted Peters: I don’t believe we have their final results yet now. Obviously they are not a public company, they don’t have to prepare press release or file things. So, we don’t have hands on that yet.
Michael Perito - KBW: Okay. All right, thanks guys. Appreciate it.
Ted Peters: Thanks Mike.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ted Peters, Chairman and CEO for any closing remarks.
Ted Peters: Yes. First of all, thank you everybody for joining the call today. This is my 14th year I’ve been doing these calls and this will be my last one because next call will be in late January and Frank Leto will be running that call. So, I’d like to thank all of you for participating for all these years and for supporting the bank and your interest in the bank and we’ve always here I can tell you that we both had extremely sheer respect for not only our shareholders, but all the different analysts which do cover us. So with that, I will -- we will sign off. And thank you very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.